Operator:
 : I will now turn the call over to Annie Leschin, Investor Relations. Ms. Leschin, you may begin.
Annie Leschin: Thank you, Operator, and good morning. Thank you for joining us this morning for the third quarter 2010 earnings conference call. With me on today's call are Hans Betz, Chief Executive Officer; and Danny Herron, Executive Vice President and CFO. Both of them will present prepared remarks. By now, you should have received a copy of the earnings press release that was issued last night. For a copy of the release, please visit our website at www.advancedenergy.com or contact us at 970-407-4670. During the quarter, Advanced Energy will be participating in the Stifel Nicolaus Annual Cleantech Conference in New York on November 9th and the Barclays Capital Global Technology Conference in San Francisco on December 9th. We will make additional announcements as other events occur. I’d like to remind everyone that except for historical financial information contained herein, matters discussed in this conference call contain forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Statements that include the terms, believes, expects, plans, objectives, estimates, anticipates, intends, targets or the like, should be viewed as forward-looking and uncertain. Such risks and uncertainties include but are not limited to the volatility and cyclicality of the industries we serve, the timing of orders received from our customers and unanticipated changes in our estimates, reserves or allowances. These and other risks are described in Form 10-K and Form 10-Q and other reports filed with the SEC. In addition, we assume no obligation to update the information that we provide you during this conference call, including the fourth quarter guidance provided during the call and in our press release dated today. Guidance will not be updated after today's call until our next scheduled quarterly financial release. I’d now like to turn the call over to Hans Betz, CEO of Advanced Energy.
Hans Betz: Thank you, Annie, and welcome, everyone. I’d like to begin today by turning your attention to a new format of presenting earnings that we are using this quarter. We’ve developed a set of earnings slides posted in the IR section of our website to help walk through the quarterly results and outlook for our markets. If you turn to slide number three, I'll begin with some of the highlights. The third quarter marked one of the strongest performances in the history of Advanced Energy. We extended our string of consecutive quarters of growth to six with record revenues of $141 million in the third quarter. Yet again, we demonstrated our ability to successfully execute on our strategy of focusing on power conversion. With acceleration across the board in virtually all of our markets, exponential growth in our inverter business and leading market share in key areas, AE's goal of becoming the premier power supplier across the industries is becoming a reality. Our leading position in the semiconductor market was evident once again as our revenues grew for the sixth consecutive quarter. The non-semiconductor revenue contributed to the business at record levels this quarter, in line with our strategy to diversify our markets and target high growth areas. Our goal overtime has been to grow our non-semiconductor business to become a larger contributor to overall revenue than the semiconductor business. We accomplished that goal this quarter as non-semiconductor markets comprise more than 50% of our revenue as a result of our strength and our renewable energy markets of thin-film solar and inverters. Nearly two quarters into our acquisition of PV Powered, our inverter business surged ahead in the third quarter as inverters climbed to 27% of total sales and are already sold out for the fourth quarter. Ahead of schedule, we achieved our goal of becoming number one in the three phase North American solar PV inverter market this quarter. Our expansion efforts will make significant strides as we set up manufacturing capability in Ontario, Canada and Shanghai, China this quarter and begin to establish our market position in Europe, which accounted for 20% of our inverter sales this quarter. From a financial perspective, the quarter exceeded even our own optimistic expectations. After excluding the flow business, total revenue grew 41% from the second quarter both the top of our guidance. Our bookings surpassed last quarter's record, reaching $160 million and positioning us well for the final quarter of 2010. As you can see in slide number four, our bottom line is tracking extremely well with the upturn in revenue demonstrating our strong operating leverage. Even with the higher revenue volumes of the last several quarters and our ongoing investment in the business, we reduced operating expenses as a percentage of total sales and grew earnings per share 54% to $0.40 this quarter. Moving on to our specific markets, as shown in number five, the thin-film markets grew once again this quarter, accounting for the majority of our business of 64% of total revenues. Semiconductors were the largest contributor of 35% of total revenues or over half of our thin-film business in the quarter. Continuing its run of exceptional growth, semiconductor sales increased yet again reflecting the ongoing industry recovery. After such an enormous ramp in approximately one year, the industry has reached a historic level of capital consumption. As we approach the end of 2010 with a near record level of CapEx investment, we believe that 2011 has the opportunity to maintain these high levels. Looking ahead, we and our customers are cautiously optimistic that the semiconductor cycle will continue. Though we see – we may see a portion of the next two quarters as the industry digests the record levels of investments, we believe the industry will settle into a sustained plateau at these higher levels. We continued to see the semiconductor market as one of our key growth areas and expect it to contribute to our business significantly in the upcoming quarters. In the thin-film flat panel display market, the investment cycle continued in the third quarter, extending the gains from the first half of the year. Due in part to a particularly large order from one key OEM, AE revenues turned in an extremely strong performance nearly doubling over last quarter to reach levels not seen in five years. Investment and geographic expansions by Korean manufacturers in Gen 8 panels continue to drive the cycle. Driven by the combination of growth in touch screens for tablet PCs and smartphones, with new capacity coming online from at least one large manufacturer's announcing in fact in 2011. AE's growing position in Echelon with new opportunities emerging from our products on leading PVD tools should afford us other opportunities as well, near-term, we see the probability that there is a pause here as well. Moving on to our thin-film renewable market, sales of solar panel equipment increased 47% from last quarter to their highest level yet. The Chinese market, once again played an important role. We shipped a record number of crystalline silicon PV products to both European and Chinese customers. Thin-film silicon products contributed similar levels as last quarters, driven by the Chinese market as well. Investment in and demand for crystalline silicon should remain highest for the remainder of the year. However, new capacity expected to come online beginning in 2011 could impact sales. Additionally, with the reduction of the German feed-in tariff and the potential oversupply of PEMs, demand could slow in the second half of 2011. If you turn to slide number six, I’d like to move on to one of our key highlights of the quarter, the inverters. You heard us talk for some time about the upcoming surge of the inverter business. It has arrived. Total inverter revenue including PV Powered rose over 150% last quarter and inverters became the second largest contributor to total sales. The quarter's restarts reflect exceptional performance across both our Solaron and PV Powered product lines, markets and geographies. We increased our capacity again this quarter in order to meet the growing demand and achieved several important milestones, setting the stage for AE to accelerate its position in the fast growing worldwide market. First, we accomplished our goal to become number one supplier in three phase grid-tie solar PV inverters in North America. With Solaron and PV Powered, AE has one of the broadest suites of products in the industry addressing markets from 1kW to 2 megawatts. We saw strength across both of these product lines, as Solaron revenue increased fourfold during the quarter and our products gained traction with key customers and sites in the market. PV Powered revenues doubled over the last quarter though the second quarter included just two months of results. The majority of our revenues continue to come from the commercial and utility side of the inverter market though PV Powered's residential business also grew this quarter. Second, we accomplished all of this while still expanding our geographical presence worldwide. We saw our first European installation this quarter, which accounted for approximately 20% of our inverter revenues. All of this would not have been possible without timing and efficient capacity increases. As I've mentioned in the past, I hesitate to discuss only giga or megawatts of capacity without differentiating between residential and commercial and utility. It does not matter what the absolute number is, but rather which part of the market is being targeted. As you can see in slide number seven, we plan to increase our inverter capacity three times over the next four quarters from 1.1-gigawatt to 3.2 gigawatts in order to meet projected demand in the various inverter markets we are targeting. During the quarter, we increased our utilization or related capacity in Colorado by moving from five to seven day work week at the end of September. We're now running both Solaron and the PV Powered manufacturing facilities seven days a week in order to maximize throughput and increase efficiencies. Let me give you some idea of the incredible ramp of the last few quarters. If I just look at our Solaron business, having shipped 60 inverters in the second quarter, we more than doubled that to 146 in the third quarter and having shipped our 100 units a year ago, we now expect to ship our 500 Solaron in the fourth quarter. This quarter, we also established manufacturing in Canada and China with contract manufacturers, positioning us to capture share in a number of high powered solar inverter markets worldwide. Looking at the fourth quarter, we are already sold out at over $59 million in backlog, yet another record up $25 million from the last quarter. We are seeing great demand across both our Solaron and PV Powered products. Importantly, given PV Powered's ongoing success, I’m pleased to announce that today we plan to pay the earnout ahead of schedule by mid-November the details of which will be provided in an 8-K later this week. With the beginning of shipments in Canada in the fourth quarter and continued strength from our U.S. and European markets, we anticipate strong momentum as we head into 2011. Now let me move on to our service business. The market for thin-film service built momentum this quarter, improving from levels seen in the first half of the year. Our customers returned to investing in the high quality, high reliable service, which led to regaining share from third-party service manufacturers for 200 millimeter repairs. This drove increased sales of replacement parts and inventory rebuilding. As the semiconductor industry passes to absorb the large purchases of the last several quarters, we believe service levels will also stabilize for the next few quarters. While to date, the vast majority of our service business has been related to semiconductors, we are building our PV service on this base. Service for inverters in a relative new – is a relatively new market but one that we believe is at the forefront. Developers of solar fields require two elements for success, long-term cash flow and energy harvest. As efficiency advantages level out and markets become penetrated overtime, reliability and up time guarantees and service will be the key differentiators. Not only does AE provide an up time guarantee for its inverters, but its existing network of global service provides quick, reliable and cost-effective service for its products. This is one of the key success factors going forward. The second of our offerings is SiteGuard for the solar field, which provides service for an entire array of solar panels. This allows customers a one-stop shop for service and support regardless of whose product they are being purchased. Going forward, we expect the majority of our service contracts to come from this type of support where they are decoupled from our own inverter sales. The added benefit to this offering is that it provides AE another path to market, selling additional inverters for future installations. Currently, we believe AE is the only company that has this kind of powerful and widespread service line, distinguishing us from the competition. In the future, when solar rays begin to combine and work with the smart grid, service will again be a crucial component for next-generation technology. Though service revenues in the near-term will be pretty small, what's noteworthy is that contracts signed now are establishing an annuity base for AE over the next five to 15 years, adding yet another market to our profitable service business. In summary, we emerged from this quarter having exceeded our top-line guidance, leveraged our bottom line and gained a commanding position in the North America large-scale inverter business. Our goal of a diversified portfolio of target markets utilizing our core competency of power conversion is becoming a reality. AE's renewable markets, including inverters and solar equipment, are accounting for a larger piece of the pie at 41% of total sales this quarter and are key components propelling our business forward. Coupled with our strength in semiconductors, we are ever closer to a balanced business with multiple growth engines. We look to 2011 with great anticipation and a variety of growth opportunities yet to come. I would like to thank the entire worldwide Advanced Energy team for their hard work, dedication and strong commitment during the quarter. Before I turn the call over, I would like to take just a moment to introduce the newest member of the AE team, Danny Herron, our new Chief Financial Officer. Danny has over 25 years of experience in finance and operations and brings to AE a wealth of knowledge from his various CFO roles at renewable energy and consumer product companies. While he's only been on Board for two months, he's already proven to be a valuable team member and we look forward to his future contributions. Danny?
Danny Herron: Thank you, Hans. I would like to thank you all for joining us today. I'm excited to be a part of Advanced Energy during such an important time in the company's history. I've had the opportunity to meet and talk with many of you and look forward to spending more time with you at upcoming events. As Hans discussed, we had a record third quarter, fueled by growth across our key markets including exceptionally strong inverter sales and continued strength in our semiconductor business. Revenues for the third quarter grew an impressive 41% over the second quarter to $141 million from $100.1 million. On a year-over-year basis, revenues rose 224%, driven by the recovery in the semiconductor market as well as the improving economy. Turning to our end markets, semiconductor revenues increased 12.5% to $49.4 million, representing 35% of sales during the quarter. The continued growth in our semiconductor revenues was driven by strength at our major OEMs. Inverter revenues almost tripled from last quarter to $37.4 million, representing a record 26.5% of total revenues. This compares to only 14.4% of our business in the second quarter. Inverter strength was highlighted by traction in AE's Solaron product line as well as a full quarter of PV Powered results. PV Powered revenues increased 103% versus the second quarter, which included two months of operations. Sales to the thin film renewables market increased 41.9% to $20.4 million or 14.5% of sales, after more than doubling last quarter. Flat-panel market sales were particularly strong, nearly doubling to $11.3 million or 8% of sales during the quarter. And our data storage and industrial market sales were $9.4 million, a decline of 15% from the second quarter. While the industrial market remains strong, especially in Asia, it was offset by weaker sales in data storage after a particularly strong second quarter. Service revenues increased a healthy 23.2% to $13.2 million versus $10.7 million in the second quarter. Third-quarter bookings hit an all-time high at $160.3 million, up 17.2% from $136.7 million in the second quarter. Our book-to-bill ratio for the total business fell to 1.14 to 1, compared to 1.37 to 1 in the second quarter. However, this was due to increased capacity which enabled faster, more efficient delivery to our customers. Ending backlog also hit a record of $128.5 million, increasing 17.7% sequentially. Now, let me draw your attention to slide number 11 on gross margin. As you can see, gross profit on an absolute dollar basis grew substantially this quarter to $60.7 million. However, gross margin declined slightly to 43.1%. This resulted from the exceptionally high volume of inverter sales this quarter. Inverters are fast becoming a significant piece of sales and changing our historical product mix. As Hans mentioned, the commercial and utility scale inverter market is still an emerging and developing one in which we are investing and establishing our market position. As such, the growth profile of the solar inverter business near-term exhibits very strong top-line growth with higher cost impacting gross margins. Longer term, with AE's strong balance sheet, economies of scale, we look to improve our supply chain management, implement key operational efficiencies and reduce material costs as we move to larger-scale projects. The good news is, we are already seeing improvements in our inverter gross margins. Turning to slide number 12, higher total revenues drove significantly higher operating margins this quarter. While total operating expenses increased in absolute dollars to $38.4 million to support the higher volumes, as a percent of sales, they fell significantly to 27.2% from 31.4% last quarter. Now, let me break out our operating expenses. R&D expenses were $16.7 million, representing 11.8% of sales compared to $13.5 million or 13.5% of sales in the second quarter. The increase in absolute dollars was partially driven by the extra month of PV Powered's expenses, as well as increases in the purchase of materials for accelerating product development initiatives. SG&A grew by $3.3 million in absolute dollars to $20.5 million, but it declined as a percent of sales to 14.6% compared to 17.2% in the second quarter. The increase in absolute dollars was, again, due to the extra month of PV Powered's operations and headcount increases to support sales activity. Our total company tax rate for the quarter was approximately 24%, reflecting a true-up to the discontinued operations tax rate. The finalization of the tax rate related to the discontinued operations caused a one-time increase in overall rate this quarter. We expect our final annualized tax rate for 2010 to be close to our original estimate of 22%. We continue to leverage our operating model this quarter as net income from continuing operations grew 53.2% sequentially to $17.6 million or $0.40 per diluted share. This compares to $11.5 million or $0.26 per diluted share in the second quarter and a net loss of $8.4 million or $0.20 per share in the same period a year ago. Turning to our balance sheet on slide number 13, we ended the third quarter with cash and investments of $112.4 million. The $16.5 million decrease from the second quarter was driven by a $10 million investment in inventory as well as about $4 million in capital spending. Also, you saw in a press release dated October 15 our sale of the flow business resulted in an additional $44.9 million of cash that came in after the quarter ended. Accounts receivable grew to $112.5 million compared to $75.2 million in the second quarter as a result of higher revenues. We were, however, able to maintain steady cash flow from our largest customers and improve DSOs to 61 days from 62 days last quarter. Without the flow receivables which were not sold as part of the flow cell transaction, DSO would have been 51 days this quarter. Total net inventory grew 17.8% to $66.7 million and net inventory turns improved dramatically to 5.3 times compared to 4.4 times last quarter. The surge in demand led us to increased inventories as we position ourselves to meet customer’s tight delivery expectations. Stock option expense of the quarter was $2.1 million and capital expenditures were $4.3 million. Fixed asset depreciation was $1.4 million and intangible amortization, including the intangible from the acquisition of PV Powered, was $1.2 million for the third quarter. Finally, turning to slide 14, you can see our guidance for the fourth quarter. Revenues are expected to be between $140 million and $150 million. Gross margins are expected to be in the range of 41% to 43%. And EPS is expected to be in the range of $0.36 to $0.42 per diluted share based on an estimated 44 million shares. This concludes our prepared remarks for the day. Operator, I would like to open the call up for questions.
Operator: Thank you. We will now begin the question and answer session. (Operator Instructions) Our first question comes from Edwin Mok with Needham & Company. Please go ahead.
Edwin Mok – Needham & Company: Hi. Thanks for taking my question. Congrats for a good quarter. Can I ask you how much inverter that you booked and shipped in the third quarter on a megawatt basis?
Hans Betz: Take an average of 500 KW. I think we are shipping around 240 – no, in the third quarter, we shipped 146, 150.
Danny Herron: Right.
Hans Betz: So that's just the Solaron. And this is around about 70 MW? And PV Powered, let me think. I think maybe around the same.
Edwin Mok – Needham & Company: Yeah. Okay. Okay, great. That was helpful. And then, I guess baked into your guidance, can you roughly give us an idea of how big your inverter sales expect to be in the fourth quarter?
Hans Betz: I mean not giving you an exact number for that, but I think it's pretty well-known that semiconductors and flat-panel would take a bit of a pause. So we see some kind of softening, not dramatic, but some kind of softening and everything is being made up by the inverters. So this gives you some kind of flavor.
Edwin Mok – Needham & Company: Okay. That's fair. And then, last thing on the inverter, actually two more things on the inverter. One thing is, as you mentioned, Hans, you guys had a pretty good European business in the third quarter. Any way you can kind of quantify how big your European business would be in the fourth quarter? And maybe looking more to 2011, do you have an idea how fast that potentially new market can ramp for you guys?
Hans Betz: I think what we see is surprisingly strong traction of our inverter business in Europe. I think we had – I don't have the exact number in terms of megawatt what we –
Danny Herron: 20% of our sales in Q3 were in the Europe.
Hans Betz: Right, right. And keep in mind, we just have one product at this point in time. And it's interesting for us to see this kind of strong traction, which may indicate for us something which is going on in Europe. That means a move toward the central inverter. And Europe, historically, has been very, very strong and still is on the small power and low-power inverters. So it's – we see really good opportunities there. And, getting into 2011, I think what we see so far is there's no cooling down in Europe in 2011. It may change the situation in 2012, but not in 2011.
Edwin Mok – Needham & Company: Yeah, go ahead.
Danny Herron: Ed, I was just going to say going back to your question on inverters and as Hans mentioned, we are sold out in the fourth quarter. Everything we can make, we can ship, so very strong business model.
Edwin Mok – Needham & Company: Okay. Just to be really clear about that comment on ancillaries [ph] – the usual capacity and what do you have in the third quarter, does that calculate, does that translate to that 60 minutes (inaudible). Does that sound too aggressive?
Danny Herron: That's probably a little on the high side.
Edwin Mok – Needham & Company: Okay. That's fair. And then one last thing is on the pricing, any kind of update on pricing trends that you guys are seeing in the near term and going into 2011?
Hans Betz: I think what we see in fact and in particular, as you look in our PV Powered product lines, we don't see any price reduction yet and even in some cases, we have a price increase. So, I mean, there are a couple of rumors around that the price pressure will pile up. We haven't seen that yet. And of course, I mean, we will see it going forward some kind of price pressure, but not yet. And I'm not sure when this really will happen.
Edwin Mok – Needham & Company: Great. And then I have a question on safeguard – or SiteGuard, sorry.
Hans Betz: Siteguard, yeah.
Edwin Mok – Needham & Company: Which is the newest de-risk offering that you guys have. Any way you can quantify that, maybe how much dollar per MW and storage you can generate and maybe just cover up in a rough sense? And how fast do you think you can penetrate that business? And is that mostly focused in Europe, given that a lot of the installations are in Europe? Or are you looking more at U.S.? Anyway you can give us more color there?
Hans Betz: The SiteGuard – I don't know what the actual number in dollars is. I can tell you how many contracts we have so far. And in Q3 it's 22 contracts, which are lasting from five to 15 years. We expect to have in Q4 double that number. Even the amount is not extremely high at least at the beginning, but it goes over a pretty long time. But all of those SiteGuard contracts at this point in time are in U.S.
Edwin Mok – Needham & Company: Great. And then last question I have is for you, Danny. Just kind of talk a little bit about gross margin. You mentioned a higher mix of inverter sales, obviously, had an impact on gross margin, but operating margins still expanding because of the leverage in a model. Any kind of way you can quantify longer-term where you think the gross margin can go for your business? And then, then for operating margin I think, historically, you guys have gone as high as 20%. Now, of course, your business has changed. Any way you can kind of give us some color on where it can go?
Danny Herron: Okay. Well obviously, as we continue to grow the inverter market and those margins are somewhat lower than the historical semi margins have been, you're going to see some impact. However, if you look at this quarter, for instance, we had $40 million of inverter sales – almost $40 million. So even if you gave up 5 percentage points on that, that's still $16 million – if you used a $40 million, that's $16 million contributing to our company. Our costs don't go up that much. If you look at this quarter, we had a 42% increase in revenue over the second quarter and yet our operating expenses only went up 20%. That's fantastic leverage, that 50%. I think long-term, we can – we are still going to target the 45% as a company average. But this is a product that's in its infancy. We can find material reductions as we grow the business, as we find better ways to produce the product. As we get more statistical data, you can reengineer the product appropriately to where – early in a product's lifecycle, you tend to over engineer it. We'll be able to reduce some costs by reengineering it appropriately to the market. And then as Hans mentioned, we are very excited about putting together PV Powered and AE. And there will be best-of-class ideas that come out of that combination of the two companies that will improve the product. So we are encouraged long-term that we can get margins back to approaching the 45%, but long-term could be a couple of years. But at this point, we're not willing to give up the margin on these significant incremental sales we're getting.
Edwin Mok – Needham & Company: Great. Thanks. One last question, sorry, just to quickly touch on the industrial coating, data storage segment, how do you kind of look at that in the fourth quarter?
Danny Herron: Say it again?
Edwin Mok – Needham & Company: It's all right. Yeah, my question is on one of the segments, account industry, the industry coating/data storage segment, how do you kind of look at that segment going to the fourth quarter?
Hans Betz: That data storage is, how should I – it's a small business. It's getting smaller and smaller. And as you look into what the data storage was historically, is optical data storage on one side and it’s magnetic on the other side. And both areas are kind of under attack by the NAND Flash. In the future, we will see this is going to be a – let's say getting smaller and smaller market for us and as it's pretty fragmented anyhow. I think data storage has its heydays behind.
Edwin Mok – Needham & Company: Great. That's all I have. Thank you.
Hans Betz: Thanks, Ed.
Operator: Our next question comes from Weston Twigg with Pacific Crest Securities. Please go ahead.
Weston Twigg – Pacific Crest Securities: Hi. First of all, I just wanted to ask about Q1 seasonality on the inverter side. I know last year inverter sales dropped substantially, but sales volume is much higher now and SatCon indicated, they didn't expect any Q1 seasonality. Could you just comment on your expectation?
Danny Herron: Yeah. I guess I would say the market is maturing in the U.S. as you have more and more developers out there and you are going to see a lot of development in the Southwest this winter. So we're not anticipating the level of drop-off we have had in the past because the market has matured a little bit and you have more people developing land down in New Mexico and Arizona.
Weston Twigg – Pacific Crest Securities: Okay. Good to know. And then, a little bit more on the capacity side. I just looked at the slide here and it looks like from Q1 2011 to Q2 2011, there's a big jump in inverter capacity. And I'm just wondering if you could maybe give us some more detail on where that's coming from. Is that Canada, China? How much is the split, et cetera?
Hans Betz: Well it's evenly distributed and increasing and extending the capacity in all sides. In vent, we are heavily increasing for capacity in Fort Collins and of course, in Canada with the contract manufacturer, Celestica, as well as in China with SGG. So, it's evenly distributed over all of the size we have.
Weston Twigg – Pacific Crest Securities: Okay. So you are increasing capacity in vent. I think originally you said that was a 500.
Hans Betz: Substantially is increasing in vent.
Weston Twigg – Pacific Crest Securities: Okay. And, on the margin side, I wanted to ask you about that again. I mean, what is the right blended gross margin we should assume for inverter sales in the near term?
Danny Herron: Well, the guidance we gave for the quarter is in a 41% to 43% guidance range on gross margins. And that would include another significant growth quarter for inverters and somewhat of a flat market for semi. So I think going forward, if you stay in that range, I think you will be fine.
Weston Twigg – Pacific Crest Securities: Perfect. Very helpful. Thank you.
Danny Herron: Welcome.
Operator: Thank you. Our next call comes from Jim Covello with Goldman Sachs. Please go ahead.
Kate Kotlarsky – Goldman Sachs: This is Kate Kotlarsky for Jim Covello. Thank you for taking my question. I was hoping you could comment a little bit more on – you talked about the flat panel and the semi market being a little bit soft next quarter. Could you give us a little bit more color on the individual market and what you were expecting for next quarter, how much you think sales might be down for each?
Hans Betz: I think it will be slightly down in my view. It's not a dramatic downfall. It's not something which is a down cycle, but it supports because as you know, Samsung has finalized its – I think it was fab 16, which drove most of the business in the first half of 2010. Toshiba has announced and it's break ground already, but it maybe take a couple of months until they bring the equipment in. We just recently heard about Intel, which announced I think $6 billion to $8 billion spend for refurbishing fabs, existing fabs and building a new fab. And TSMC is still around, so I think if you look at the fundamentals of for 2011 and early 2012, I think it's still a very healthy business, but because of the fact that we see some kind of shortage, we have seen this kind of shortage of lithography towards last year and it's going this year, it's not everybody who would like to build a new fab can start right away because ASM lithography is nearly sold-out. So that means generally speaking, in summary, I think it's still very healthy, but it takes a bit of a pause. In flat panel, what we see is some kind of you know, sluggish, at least at this point in time, sluggish sales in flat panel TVs in U.S. Will that hold for the entire holidays, I don't know. But I think, looking at the fundamentals here as well, you see all these touch screens, you see all these smartphones, I think – and you see, of course, the increasing TV panels with the LED backlighting and of course, the upcoming 3D TVs. So there are fundamental drivers which will drive the flat panel displays but I think they will take a bit of a pause as well.
Danny Herron: Yes, I’d just like to add, I mean, it's interesting. If you look at various predictions out there, you will see it being up, you will see it being down. Obviously no one really knows when it's going to occur, whether it's going to be in the first quarter or the second quarter but the beauty of our company is we have a secondary market in the inverters that allows us to have gross sales in a period of maybe when it's flat. So once again, our company has changed. We’re very happy with our diversification into inverters. And it gives us some insulation if, in fact, there are flat sales in the quarter.
Kate Kotlarsky – Goldman Sachs: Okay. Thank you very much. And just a housekeeping question, in terms of your tax rate for next year, what should we be expecting?
Danny Herron: Currently, we're looking at about 22%, is where we think the tax rate has fallen out. Obviously, that's a combination of where we expect to sell product and if product markets change and we sell more in various countries, that tax rate can move a little bit. But given what we know today, 22% is a good number.
Kate Kotlarsky – Goldman Sachs: Okay. Thanks very much.
Danny Herron: Okay.
Operator: Thank you. Our next question is from Colin Rusch with ThinkEquity. Please go ahead.
Colin Rusch – ThinkEquity: Thanks so much. Can you guys give us a bit more visibility on where you are spending R&D dollars and which products you are looking at? And how we should think about that as a percentage of revenue going forward?
Hans Betz: I think the historical numbers, which we always had around 12% will – if you look at the 2011 and even further down the road, will be roughly the same. And, because of the fact that we still have some products to be put on the market on the inverter side, we probably spent more at this time on the inverter side than is necessary on the long term. Because one point we should always keep in mind, the inverter business per se is from an R&D perspective not as complicated as the thin film and this results in something which, on a long-term, the R&D spending which was necessary for inverters has left. And it has been in the past for and is still is for the thin film side. So I think I would like to direct the view a bit more on the operating income rather than on the gross margin. Because different industries have different gross margins, which doesn't necessarily mean that the profitability is being affected by that. And, just look at the inverter per se, you have a high volume, low mix and all the thin film products have low volume, high mix, which always translates in higher R&D spending.
Colin Rusch – ThinkEquity: And can you talk a little bit about the backlog and the breakdown of solar capital equipment? It looks like a pretty healthy number at $20 million for this quarter. And how much visibility do you have into early next year and even the second quarter so far on those power supplies?
Danny Herron: Yeah. We haven't given a whole lot of detail around the backlog for next year. Obviously for the quarter, it's very strong and as solar continues to grow, we’ve seen that backlog grow in inverters and the capital equipment on solar did have a good quarter. We expect that to continue for a while. But remember the capital equipment is more dependent on factories being built than it is the repeat business that we have on the inverter side.
Colin Rusch – ThinkEquity: Yeah. They are just completely separate markets, understood. But, between thin film and the crystalline silicon, can you give us a little bit of a breakdown between those two products?
Hans Betz: Yeah. I think as I mentioned in my script, we have, at least in Q3, both areas, very strong growth on crystalline as well as on thin film. If you look down the road, I think crystalline will dominate the film market going forward. And on the thin film side, it's probably being cadmium telluride but not that much anymore on the mostly silicon or even multi-crystalline silicon as with thin film. But the interesting point is, if you look at the last maybe couple of months, the announcement of CIGs fabs are piling up and it's TSMC, now (inaudible) and I think that there's going to be a battle between cadmium telluride on one side and CIGs on the other side. But, I think both areas, crystalline silicon, mostly in the residential and light commercial and the thin film in the higher power installation will have their market share.
Colin Rusch – ThinkEquity: Perfect. Thanks a lot, guys.
Operator: Thank you. Our next question comes from Tim Arcuri with Citi. Please go ahead.
Wenge Yang – Citi: Hi. Good morning. This is Wenge Yang on for Tim, a couple of questions. You give us some forecast on your capacity increase for the inverter business. If we assume kind of flat ASPs for next year, does that mean that your inverter business could grow as much as $300 million for the next year? Grow up to $300 million.
Hans Betz: I would like that – $300 million. But, I think to be more realistic, I think we will have something which goes beyond $200 million.
Danny Herron: Yeah. Obviously, the capacity, we want to make sure that we have adequate capacity to meet lead times but remember capacity doesn't equate to revenue. But we are, once again, going to make sure we are prepared to satisfy our customers if the demand is there.
Hans Betz: And by the way, because you have a regional distributions and you have to be prepared for, if one region is showing a very strong business that you really have enough capacity in that region otherwise you have to ship around the world which, of course, hits your gross margin. So therefore, you always have some kind of overcapacity so to speak in order to be prepared for these kind of swings.
Wenge Yang – Citi: Okay. That's very helpful. Regarding the semi business, you mentioned it's incrementally getting a little bit weaker for the next quarter. Could you comment on what's the feedback in the last couple of weeks from your OEM customers? Is there any cancellations or push-outs happening in the last several weeks?
Hans Betz: Not really. Not really. Not really push-outs or cancellations. What we see is some kind of slower orders getting into and I think we're pretty much in line what you have seen from the earnings call of Novellus and LAM, all of those have kind of, you know, flattish situation. And it's a situation which we, as a component supplier, if we don't lose market share in some cases, if there's a change in the market share on our customer side, where you see some kind of softness which may not be a softness in the industry per se. But again, what we see is some kind of, you know, pausing on the semiconductor but it's not dramatic.
Wenge Yang – Citi: Understand. Just one last question, could you provide a breakdown of your bookings for the Q3? Thank you.
Danny Herron: Yeah. We really haven't went into that detail as to where it's come in. As we said, the bookings were about $160 million for the quarter but we just haven't given any more detail on it than that.
Wenge Yang – Citi: Okay.
Operator: Our next question comes from Bill Ong with Merriman Capital. Please go ahead.
Bill Ong – Merriman Capital: Good morning, gentlemen and congratulations on a record quarter. With the North American solar market expected to grow next year and you're seeing a lot more competition likely to get aggressive in Ontario and the U.S., maybe you can talk about some of your specific inverter advantages over the SatCon’s, the Power-One’s, SMA Solar. And also, what type of leadtimes do you have on your inverters? We're seeing some of your peers trying to move towards a turns-like business.
Hans Betz: So the first thing is, if you look at the SMA and Power-One, these are companies which historically always have been playing in the low-power stuff because all of them are very strong in Europe. Power-One has nearly no business in U.S. yet and SMA in U.S. is coming stronger but most of the time on the residential, light commercial side. And one of the key areas is the service because, if you look at the situation in U.S. in comparison to the European side, Europeans have been driven all the time by feed-in tariff and most of the time by a very generous feed-in tariff. U.S. is being driven by RPS and RPS means you have to be cost-conscious right at the beginning. It's not the case in Europe. And that means that people have to adapt first to the new pretty harsh environment or harsher environment in the U.S. in terms of the inverter business, which means the trend in U.S. has always been in the central inverter. The trend in Europe has always been in the low-power residential or string inverters, so this is some kind of change they have to go through first. But the most important point is, if you are on the low-power side, you don't need a very strong and scaled service force because it can just swap them. There is no possibility if you have a central inverter to swap them. You have to have a very dense and very solid service force and it's not easy to build that. We have been lucky because we have all these service forces out of the semiconductor, which we can use for it. So this is one of the key differentiators which it's not easy for them to catch up very fast. As far as SatCon is concerned, I think SatCon has been for years, the incumbent number one and the reality is, as soon as we can came into the play on the high-powered side of the three phase grid-tie inverters. We took the number one position and guess from whom we take the market shares?
Bill Ong – Merriman Capital: And then on leadtimes?
Hans Betz: The leadtime.
Danny Herron: You know, our leadtimes, we are sold out for the quarter. We've got slightly more backlog than we can produce in the quarter but as we mentioned, we are continuing to add inverter capacity. So I would say right now we’re at the probably a 12-week range if we were to get an order today because we are sold out for a quarter.
Bill Ong – Merriman Capital: Okay. Great. Thanks so much and nice job, gentlemen.
Danny Herron: Thank you, Bill.
Operator: Our next question comes from Krish Sankar with Merrill Lynch. Please go ahead.
Krish Sankar – Bank of America/Merrill Lynch: Yeah. Hi. Just had a couple of questions, number one, what level of inverters run rate do you need to see for your gross margins to be equal to the corporate average?
Danny Herron: Well, obviously, you know, this early in the lifecycle of a product like that, it's not going to get to the corporate average in the next 12 to 18 months. We're going to continue to refine the product, reengineer it better, get material cost reductions, improve our supply chain. So it will not reach the corporate average in the next 12 to 18 months but we're still going to aggressively pursue increased margins in that product by putting efficiencies in our plants and using the best of both of our companies.
Hans Betz: And don't forget, we just have the acquisition of PV Powered and PV Powered as being a pretty small company, is, of course, not in a position to use all the purchasing power for supply chain. So that means their gross margin fundamentally is lower than our gross margin even on the inverters side but, having these two companies combined and having a supply-chain going forward, which is one supply chain, I think we see a substantial improvement in their gross margin as well. Apart from that that Danny was telling you.
Krish Sankar – Bank of America/Merrill Lynch: Got it. All right. And if you look into 2011 year-over-year, what kind of pricing decline are you factoring in, in your inverter business?
Hans Betz: So, as I said before, there are people which kind of, you know, spreading rumor there is a huge price decline 8% to 10% which I don't believe because we don't have any indication yet. And by the way, it's not anymore a pure price play. Because if you look what really counts is harvesting, is LCEO, is what kind of energy you can harvest over the lifetime and that means uptime guarantee. And this translates again in a superior service provision. And, as soon as you can give, in addition to the pure box of an inverter, these kind of ancillary services, you are in a better position and again, we haven't seen any price erosion yet.
Krish Sankar – Bank of America/Merrill Lynch: Should we assume next year 2011 flat pricing?
Hans Betz: I would assume.
Danny Herron: You know, if you think about what the inverter is doing, the implementation of a solar field is based on a power purchase agreement that runs 15 or 20 years. They're looking for their lowest cost of energy over that 15 to 20 years and we think with the combination of our product, which has very good technology and our service offering, we can play right into that where they get a better return on their investment. That's why they are willing to pay a reasonable price for a great product and good service.
Krish Sankar – Bank of America/Merrill Lynch: Thank you.
Operator: Thank you. Our next question comes from Srini Sundara [ph] with Barclays Capital. Please go ahead.
Srini Sundara – Barclays Capital: Hi. I'm calling in for C.J. Muse from Barclays. My first question was, in terms of the leadtimes for the various components. How is that going? Are you able to get all the IGBTs and other components that you need for quick turnaround?
Hans Betz: I think, I would put it this way, it's not completely over yet but the worst is behind us. We have seen this kind of very severe constraint in components, in particular, IGBTs power set as well as some capacitors but we see still some kind of, you know, constraints but by far not as bad as we have seen in May and June timeframe. And we don't think it's a really something which hampers us to get into the revenue realm, which we addressed.
Srini Sundara – Barclays Capital: Okay. The next question is on the total gigawatts that is for the whole industry. How do you see that going between the second half of '10 and first half of ‘11?
Hans Betz: You mean all the inverters, including residential?
Srini Sundara – Barclays Capital: Correct or whichever way you want to answer it, meaning, I give you – if you want to answer only on the utility side that would also be good.
Hans Betz: I think what we see in U.S. which is our key market at the beginning at least. I think the inverter business in those areas we are addressing, which is commercial and utility scale, should be…
Danny Herron: Yeah. The CAGR out through 2013 is forecast to be about 65% between those two. I think utility is a little over 80% and commercial is in the 40s. So the blended rate for the two markets that we really focus on is about 63%, 64% CAGR for the next three years.
Srini Sundara – Barclays Capital: Right. But looking near-term at first half of ‘11, how does it look like? CAGR is maybe for a longer period of time?
Hans Betz: Yeah. What we see for 2011 is probably around 900 to 1.2 gigawatt in inverter business, which is commercial and utility scale in U.S. In Europe, it's hard to make any kind of, you know, forecast for AE's business because there are so many inverter companies there. And the trend has just started to get into the central inverter. So it's hard for us to predict how fast and how the acceleration is going from the low power to the high powered side. We see and again, I'll repeat what I said in my script, we have just one – at this point, just one product and see a pretty high traction in Europe. Going forward, we will get into Europe with more product than we have right now, in particular, because of the PV Powered product suite. So and there's – the other point in Europe which is important to know, there's still a pretty uncertain situation what happens to the feed-in tariffs in U.K., in France and even going forward in Italy. Italy is still growing fast and PV – Power-One is kind of gaining benefit from that too. But nobody knows exactly whether or not we have the same pattern as we have seen in Spain, for example, or in Czech Republic. So, what we concentrate on after U.S. as the highest priority is China. And for China, we are kind of lucky because China still has a pretty slow growth at this point in time but everybody and I'm at the same page, we expect a very strong growth going forward. But at this point in time, China is small at this point but growing fast. At this point in time, Europe is big but growing not as fast and has a lot of different uncertainties and a lot of different dynamics, which are hard to predict for us for the businesses going forward in Europe.
Srini Sundara – Barclays Capital: Great. One last question on the 1.1 gigawatt currently and the 3.2 gigawatt in the future, what is the traction for Solaron and for PV Powered and also, I just wanted to ask you how much potential margin expansion you can get from increasing economies of scale in the next year?
Hans Betz: Yeah. Let me answer the first question, I think not knowing anything better than at this point in time, I would say they are growing parallel. It may change after the time but at this point in time I cannot say anything more on that. As far as the gross margin for PV Powered is concerned, I think what you can expect is that these products will come up at least on the commercial side and on the utility scale side, not on the residential. It will come up at the same order of magnitude as our inverter gross margin from Solaron perspective is.
Srini Sundara – Barclays Capital: Okay. Thank you very much.
Hans Betz: Sure.
Operator: Thank you. Our last question comes from Mehdi Hosseini with Susquehanna International.
Mehdi Hosseini – Susquehanna International: Yes, thanks for taking my questions. Two follow-up questions, one, regarding your commentary on the semi cap. Can you elaborate, if you can, the weakness by different segments in the semi cap? And then, you, in your prepared remarks, you mentioned building inventory. Can you elaborate on it a little bit to the extent you can, what is that inventory about?
Hans Betz: So, the first thing is, what we see very clearly, everybody sees the same thing is the DRAM pricing is taking a nose dive. So people are changing from DRAM to NAND Flash. So there is effects in some way, at least on the short-term, the absolute strength of the semiconductor business but not on the longer term because…
Mehdi Hosseini – Susquehanna International: I was actually – I was asking the weakness by – is that more on the edge side, the CVD, by different segments in the semi cap market.
Hans Betz: I see. So, this is even harder from our perspective because, as you know, we have three very strong edge companies for example, which is by Applied Materials, TEL and LAM Research and depending on who is gaining market share, we are being affected in some way because we are not in all of those equipments. So, this is one point. The other point is, as far as the PVD is concerned, I think this is getting pretty much along with the entire semiconductor business because there is no specific differences on the different products between NAND or DRAM on the PVD side. And, the PCVD I think this is pretty the same thing as the semiconductor business in general is changing over the time.
Danny Herron: And I will address the inventory part of the question. Inventory did go up slightly quarter-over-quarter, but the average inventory turns increased from 4.4 to 5.3. So when you manage a business, you're managing the metrics. And the inventory turns improved for us and that's really what we can manage. So we're not concerned about the inventory growth. We're managing it well but it does take more inventory to support an increase in sales of 40% quarter-over-quarter.
Mehdi Hosseini – Susquehanna International: Thank you.
Operator: At this time, I'm showing no questions.
Danny Herron: Good. Well, thank you very much for joining us today. We appreciate it and look forward to seeing you during the next quarter.